Operator: Welcome to Mativ's Fourth Quarter Earnings Conference Call. Hosting the call today for Mativ is Julie Schertell, Chief Executive Officer. She is joined by Andrew Wamser, Chief Financial Officer; and Mark Chekanow, Director of Investor Relations. Today's call is being recorded and will be available for replay later this afternoon. At this time, all participants have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. [Operator instructions] It is now my pleasure to turn the floor over to Mr. Chekanow. Sir, you may begin.
Mark Chekanow: Thank you and good morning. I'm Mark Chekanow, Director of Investor Relations at Mativ. Thank you for joining us to discuss our fourth quarter 2022 earnings results. Before we begin, I'd like to remind you that the comments included in today's conference call include forward-looking statements. Actual results may differ materially from the results suggested by these comments for a number of reasons, which are discussed in more detail in our Securities and Exchange Commission filings, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. Some financial measures discussed during this call are non-GAAP financial measures. Reconciliations of these measures to the closest GAAP measures are included in the appendix of this presentation and the earnings release. Unless otherwise stated, financial and operational metric comparisons are to the prior year period. The earnings release is available on our website at ir.mativ.com, as are the slides for today's presentation. You can download the slides and/or click through these slides at your own pace during the call using the webcast interface. To clarify some aspects of how Mativ results were reported and how we will be discussing them, we would first remind everyone that the SWM and Neenah merger closed on July 6, 2022, thus the fourth quarter reported results, reflect the combined company for the full period. However, reported results for the full year only reflect the combined results for the period after the merger, while the first half of 2022 and all of 2021 reported results reflect only the legacy SWM results. As a result, year-over-year comparisons reflect the addition of the Neenah operations and typically resulted in large reported year-over-year increases in sales and profits. On today's call though and in our earnings release, we'll provide some comments referring to comparable performance to illustrate how our results compared to prior year periods on a like-for-like basis. These figures are shown in tables in a earnings release and the appendix of this presentation as well as full reconciliations. As previously disclosed, Mativ reports results in two reporting segments, Advanced Technical Materials, or ATM, and Fiber-Based Solutions, or FBS. ATM is essentially comprised of the legacy SWM Advanced Materials and Structures segment and the legacy Neenah Technical Products segment, while FBS is essentially comprised of the legacy SWM Engineered Papers segment and the legacy Neenah Fine Papers & Packaging segment. Please follow up with us for any further needed clarifications as we want to make sure you understand our business trends, financial results, and reporting processes. With that, I'll turn the call over to Julie.
Julie Schertell: Thanks Mark. Good morning, everyone and thank you for joining today's call. We have a lot to cover today. In addition to our normal quarterly results and highlights, a view of the current operating environment and some commentary on what we see going forward, we will also share some additional color on our newly aligned strategic framework. This work stream is the culmination of months of rigorous assessments since the close of the merger. We've worked with our board and our leadership team and recently shared this messaging and direction with our employees. We are excited to now bring it to the investment community to help establish and build a strong Mativ identity. Let's start with Q4 results. On our last call, we indicated fourth quarter EBITDA would be consistent with third quarter results of $93 million and that is where we landed. For the quarter, that represents 30% growth compared to last year. This also puts Mativ at $370 million of EBITDA in 2022 on a combined basis. Additionally, we remain confident in the resilience of our portfolio, near-term cost synergies as a controllable profit catalyst and longer term value creation opportunities ahead for Mativ. I'd like to touch on a few key fourth quarter highlights. First, this was another strong quarter of top line gains with constant currency organic growth of 6% driven by disciplined pricing actions. Consistent with our strategy, our growth platforms of release liners and protective solutions delivered the highest growth in the portfolio. Second, price versus cost has been a theme throughout 2022. As manufacturers battle raw material inflation and past prices downstream. During the quarter, pricing exceeded input cost increases by over $35 million on a comparable basis for the combined company. I'm pleased with the team's pricing discipline and agility as we implemented new approaches to pricing throughout 2022. And third, we delivered as expected on synergy execution, exiting the year with a little over $20 million of executed synergies, most of which will be realized and hit the P&L in 2023. We are highly focused on synergy capture. As our $65 million synergy plan is largely within our control and offers built-in profit improvement, regardless of external factors. I want to commend our global operating teams and our transformation office leaders for parallel passing this high value set of opportunities while navigating a very dynamic macro environment. Beyond synergy delivery, we've made tremendous strides in all facets of integration from finance and accounting to HR and IT, to organizational design and operations. We know integration can create a risk of disruption when executed at scale and I can confidently say our thoughtful planning and discipline has paid off with a relatively smooth process in our first six months together. Beyond our amount of walls is a fairly choppy economy. There are mixed signals on the direction of inflation and indications of softening demands, at least in the near-term from customer destocking. Concerns of a recession coupled with inventory drawdowns from customers who built excess inventories during supply chain uncertainties are impacting manufacturers and clouding near-term visibility. While we have confidence in the [Audio Gap] is definitely a dynamic time with several drivers influencing the global economic climate. In some respects, inflation seems to be cooling and we are seeing some moderation in both prices and forecast of key inputs like pulp, resin and energy. However, indications of continued interest rate increases, continued array of sentiment. We are also seeing reduced demand as customers take down inventory levels, coming out of a period of supply chain uncertainty and availability. Many customers built much higher than normal levels of safety stock in an effort to assure supply and are willingness to carry excess working capital. As supply chain constraints ease and concerns about availability lessons, customers are aggressively working to reduce excess inventories. Additionally, customers are also cautious about the [Audio Gap] economy. For us, this means focusing on internal elements we can control in this uncertain environment including working capital reductions, operating costs, [Audio Dip]. Looking at other areas of demand trends and indications from customers, filtration was a mixed bag. There is some softness in transportation filtration as consumers may be delaying aftermarket filter replacements in response to inflation driven spending pressures. In addition, we are seeing tough comps on some COVID driven products like face masks and home air filters as COVID concerns ease, water and industrial process filtration sales performed better as we would typically expect more resilience in these categories. Release liners delivered a very strong quarter as demand remained healthy with sales up over 20%. Our diversified offering of release liners serving industrial and consumer markets continue to be a leader in the portfolio and we expected to remain resilient in the face of potential economic volatility. Similarly, protective solution sales were up over 20% and we are also confident in the resilience of this business as it relies far more on global product penetration and consumer adoption that we believe will remain largely intact in a challenged environment. Also, demand for engineered papers remained relatively predictable with the minimal impacts from inventory destocking at the customer level. We know there are various end markets and product categories across the enterprise, but to summarize destocking as a broad topic, again, we saw some impact in the fourth quarter, which will likely peak in the first quarter before normalizing by mid-year. And with respect to demand, we see some softness mostly and very economically correlated to product areas and expect resilience in several others. We continue to believe that over 60% of our portfolio should exhibit recession resilience. That segues into one of my favorite topics, synergies. In addition to the long-term value we can create with the merger, we have solid plans in place and are executing on $65 million of cost synergies, which I believe represents an insurance policy for profit growth in 2023. Andy will elaborate shortly, but I want to hit a few highlights. First, we are living up to our commitment to end 2022 with at least $20 million of executed synergies. As you recall, this is one of our goals as well as executing half of the plan a year from close, meaning over $30 million in run rate by mid 2023. We remain on track for this as well. Realized synergies that will hit our P&L in 2023 create a full year profit growth buffer against the impact of the first half destocking or potential further economic turbulence and perhaps the most appealing aspect of these actions is that they are within our control. We are laser focused on synergy realization. Our entire company is heavily incented on synergy delivery and our execution thus far gives me confidence in successfully achieving our objectives. With that, I'll turn it over to Andy to review the quarter's financials and comment on 2023.
Andrew Wamser: Thanks, Julie. As Mark referenced earlier, reported consolidated Mativ results reflect a merge company for the fourth quarter, but only for the legacy SWM and the prior year, thus making year-over-year reported growth very large in comparisons, less meaningful. So my comments will try to focus on current business trends, margin comparisons on a comparable or a like-for-like basis and price versus input cost trends for the business as a whole. In addition, the full year reported results only reflect the merged business after the July close and legacy SWM for only the first two quarters. Also, limiting comparability, we have provided extensive reconciliations and their earnings release to help with comparisons on a like-for-life basis for both the fourth quarter and the full year, but I will focus my comments here mostly on the quarter total. Fourth quarter sales were $660 million with organic growth at 6% on a constant currency basis and 2% with the impact of currency. The 6% growth was split between 9% growth in ATM and 3% growth in FBS with the best sales performance coming from release liners and protective solutions, as Julie discussed. Price increases versus last year drove all growth metrics. Going forward rather than detailing adjusted operating profit and EBITDA, we will center our comments on EBITDA. Those you'll see in the release. We reconcile GAAP operating profit to adjusted operating profit and then to EBITDA by segment and on a consolidated basis. For adjusted EBITDA on a comparable basis, we were up 30% to over $92 million in the fourth quarter with margin expansion of 310 basis points. Growth was driven by over $35 million of favorable price versus cost. These gains were partially offset by the impact of softer volumes and some other inflationary pressures like freight and distribution. Overall, fourth quarter performance was encouraging from a margin standpoint and on a price cost perspective and we have made great strides this year recouping inflationary pressures. To give some perspective on the magnitude of some of the input cost inflation that we saw in the fourth quarter, total pulp and fiber costs were up approximately $10 million. Resins and plastics were up nearly another $10 million and energy increased nearly $15 million, but again, we more than offset these increases with pricing actions. Looking at the segments in the fourth quarter with the same like-for-like view, ATM adjusted EBITDA was up 45% with margin expansion of 460 basis points. The margin improvement was primarily driven by favorable price versus cost. For FDS, adjusted EBITDA was up 7% with margin expansion of 140 basis points. Price cost was favorable here as well. We also want to highlight that early stage SG&A synergies contributed to margin expansion across both segments. Moving to non-operating items, interest expense was approximately $27 million in the quarter and approximately 75% of our total debt is set at fixed rates. Other expense was $5 million in the quarter and while we normally wouldn't comment on this line item, we note that the rise in the Euro impacted our balance sheet exposures during the quarter. These expenses are non-cash mark-to-market entries. This item had been moderately favorable through most of 2022, but reversed in the fourth quarter. Based on the forward euro curve, we don't expect material expenses like this Repeat in 2023, bottom line adjusted EPS was $0.56 for the quarter. Highlighting just a few metrics for the full year on a comparable basis. Constant currency organic sales growth was 11% and was fairly even across both segments and for the year adjusted EBITDA was 370 million also up 11%. Lastly, for the terms of our credit facility, net leverage ended the year at 3.7x in line with the expectations we discussed on the last call. Net leverage benefited from the receivables securitization program we initiated in December to lower our borrowing costs. Recall that our credit agreement net leverage includes adjustment for planned synergies on top of our combined trailing 12 month EBITDA. As we look into 2023, let’s take a moment to recap where we stand on synergy delivery. To outline the $25 million of incremental 2023 synergy realization we reference, it is comprised of $15 million from actions taken by the end of 2022 and another $10 million from expected continued synergy execution in 2023. To help reconcile these figures from our $20 million exit run rate for 2022, $5 million of those executed synergies hit the P&L in the second half of 2022. This leaves an incremental $15 million flow through in 2023 just from the actions already taken through this past December. The majority of these synergies were SG&A reductions. Next, we said we’d execute half of the $65 million in synergies within a year of closing, and that will be a mix of continued SG&A optimization coupled with supply chain and procurement synergies. Taking in account the timing of first half execution as well as second half projects, we expect 2023 actions to result in another $10-plus million of synergy flow through this year, bringing our incremental realization to the $25 million level in 2023. Hopefully that gives some color on synergy timing. It is consistent with the expectations we originally outlined. To give some examples of early savings we have executed. We have the elimination of duplicative executive positions and other public company costs. We have insurance savings, benefits consolidation, elimination of redundant professional third-party services that support HR, legal, IT and tax, as well as some procurement and freight optimization. Our teams are working diligently to not only execute on the originally targeted synergies but also identify new cost savings and commercial opportunities and keep building a pipeline of ideas for bedding and implementation. With respect to input costs, commodity resins like polypropylene retreated throughout 2022 and based on current industry forecasts are expected to be fairly stable in 2023. At these levels, resin costs should be favorable versus prior year throughout most of 2023. Pulp prices appear to be coming off their multi-year highs and are expected to trend lower. However, they aren’t projected to be meaningfully lower versus prior year until the second half of 2023. Energy costs have also moderated, especially in Europe where the Russia-Ukraine conflict caused substantial volatility. We have locked in much of our energy needs for 2023 and are pleased that we did not lock in prices at peak levels as they have since backed off significantly, but we still expect higher energy spent in 2023 compared to 2022. Factoring in all aspects of inflation, including chemicals, freight and other materials, we see approximately $100 million of cost increases. However, we expect to more than cover those increases with pricing actions. We want to be clear that we are optimistic that we can deliver solid profit growth on top of the combined $370 million in EBITDA that we generated in 2022. First, those incremental $25 million of synergies would put the 2023 baseline at nearly $400 million of EBITDA. We consider this a reasonable baseline assumption, however, as we have noted, it is a challenge to provide a range around this level given the uncertainty around near-term destocking and the broader macro demand outlook. And as I just referenced, we would also expect more than offset input cost inflation with price increases. Considering all these factors and limited visibility, we don’t want to be too aggressive or potentially too conservative at this moment. Rather, after first quarter or mid-year might be a better opportunity to clarify an EBITDA outlook for the full year once we have better line of sight. From a quarterly perspective, factoring in the peak impact of destocking, first quarter EBITDA is likely to be the lowest of the year and not indicative of the business run rate EBITDA we would expect in the following quarters. Furthermore, we did experience some isolated inefficiencies at a few plants during the fourth quarter, which will have a negative impact on first quarter results as higher cost inventories flow through the P&L. Lastly, there have been strikes in France related to the government’s efforts to increase the retirement benefits age requirements, which resulted in some lost sales and inefficiencies thus far in the first quarter within our EP business, which will also contribute to a soft quarter. While we ordinarily would not comment on analyst estimates, in these circumstances we think it’s fair to say that the full year 2023 consensus EBITDA estimate of nearly $390 million appears reasonable. To help with model building, we also offer a few high level estimates to help translate an adjusted EBITDA estimate into adjusted earnings and cash flow. First, pure depreciation is expected to be approximately $100 million based on our latest valuations of PP&E, which was stepped up as part of the merger accounting. This figure excludes of purchase accounting amortization we normally exclude from our adjusted financial metrics. In addition, stock-based compensation expense, which is another non-cash item excluded from adjusted EBITDA is expected to be approximately $15 million. So to go from EBITDA to adjusted operating profit, you would deduct these two non-cash items totalling $115 million. Second, based on current and forward rates of our debt structure, interest expense should be just north of $100 million. In addition, due to the accounting treatment of our new receivable securitization program, approximately $7 million of additional interest will actually be recorded in other expense. Additional components from other income and expense are difficult to project but are not currently expected to be material based on forward rates of the euro. Lastly, we would expect a tax rate in the low 20% range, JV income in the $5 million range and a share count of approximately 55 million shares. With respect to cash flow, we would expect working capital to be more normalized in 2023, especially with muted sales growth and potentially deflating input costs. For CapEx, you can assume approximately $90-plus million. Now back to Julie to wrap up.
Julie Schertell: Thanks, Andy. Before we wrap up, I’d like to spend a few minutes highlighting some of the work we’ve done around our strategy and identity. Since the merger closed, we have dedicated significant resources to refining our enterprise strategy for all of our stakeholders, especially our employees, customers, suppliers, and of course, investors. The legacy SWM and Neenah businesses shared many attributes that we felt articulating the Mativ identity was paramount for providing the direction and inspiration for who we are and what we aspire to be. Our North Star, as we call it, includes our ambition statements, core advantages, strategic pillars, cultural values and growth platforms. We believe these themes are generally self-explanatory, but we’ll briefly talk through them so you can best understand how we will manage the business going forward. First, our ambitious statement is to be the global leader in specialty materials, consistently driving growth by engineering bold, innovative solutions that solve our customers’ complex challenges. This has long been the underlying inspiration for both legacy companies and I believe this captures what we aim for in the heart of our business model providing premium solutions that solve our customers’ complex design and engineering challenges. Mativ has an expanded set of technologies and capabilities using a variety of materials to design solutions across a diverse set of industries and premium applications. The second element is our core competitive advantages or how we win. We consider these our extensive material science know-how across diverse technologies, our approach to customer collaboration, putting customers at the center of everything we do and our robust global manufacturing and supply chain capabilities. Ultimately, leveraging these advantages in tandem will underscore our ability to achieve our ambitions. The third elements are our strategic pillars, which are lean into growth, focus our efforts and drive value creation, which all tie together. Simply put, we have a diverse business, meaning prioritization is key. These strategic imperatives will guide our decisions. We will invest in strategies for growth, streamline and focus our efforts where we see the best opportunities in identify and execute projects and initiatives to increase Mativ’s value to all stakeholders. Fourth is our values or how we will work together to achieve our goals. Narrowing down all of the incredible values that our people embody and find inspiration in was no easy task, but we boiled them down to the five most important and overarching values that speaks to who we are and who we aspire to be. We arrived at prioritized safety, be curious, when would customers have a voice and make it happen. These are simple, straightforward and speak to our culture of a strong bias for action customers at our center and rolling our sleeves up to work together to get things done. Our people drive the success of the business and these cultural values are emblematic of our motivation and the passion we bring to the business every day. While I believe these elements of our North Star are important for us to review this one time with you and extremely important for alignment internally, I believe the most meaningful part of our strategy for our investment community is our approach to our portfolio and growth platforms. This provides insights on how and where we will bias our investments for growth. So let’s shift to that part of the enterprise strategy. As you know, we align our operations with two segments and seven categories. Advanced technical materials focuses on filtration, protective solutions, release liners, healthcare and industrials, while fiber-based solutions is divided into the engineering papers and packaging and specialty papers. And I’ll begin these comments by saying unequivocally that all of these categories are attractive and profitable. They’re complimentary in many ways. For instance, they share common assets, technologies and material science capabilities. However, they have different financial profiles, market growth dynamics and competitive landscapes and required tailored management philosophies. That said, both segments and all categories are expected to profitably grow, as you might imagine at different trajectories and through various actions. Without rehashing all the product applications and growth catalysts within each area, I’d simply highlight that our more mature FBS areas continue to generate strong cash flow and efficient returns, and each has the potential to leverage emerging trends such as increasing demand for sustainable eco-friendly solutions. On the left side of the pyramid are industrials and healthcare, which we believe operate balance of solid revenue growth prospects and margin expansion opportunities from optimizing our mix and focusing on high value products and customer relationships. There are some real pockets of strength in these areas and that is where we will focus our efforts. And lastly, at the top of the pyramid are our growth platforms, the areas we see accelerated growth outlooks, and the most significant opportunities to differentiate and win in the marketplace. These three areas, filtration, protective solutions and release liners operate with strong global mega trends such as consistently growing demand for cleaner air, water and industrial process, and the increasing global usage of high performance films and release liners across a variety of premium markets like auto paint protection and specialty adhesive materials. Going forward, while all growth opportunities across Mativ will be evaluated rigorously, initiatives like capacity expansions, new product investments and potential bolt-on acquisitions will likely be weighted towards these growth platforms as we sharpen our focus on the most attractive profitable growth opportunities and value creation catalyst. While in the past both companies strategies were focused on investing in adjacencies combined as Mativ, we are pleased with the growth potential of the markets in which we currently compete. And so we will shift our strategies that were focused on using M&A to diversify into new markets, to business unit-led strategies that can accelerate organic growth in our current categories. Bottom line, we see GDP plus long-term growth in total sales given our portfolios waiting toward growing end markets, and we can amplify our results by aggressively investing in our three growth platforms. I hope these messages helped clarify our strategic approach and priorities and how you can expect us to manage Mativ going forward. We enter 2023, our first full year together as a combined company with complete strategic alignment, a cornerstone of successful long-term execution. So to recap the key points before taking questions, I’ll just reiterate a few takeaways. First, we hit the EBITDA, we said we would in Q4 and we executed on the synergy plan exiting 2022 as we said, we would. Second, we believe adding the $25 million of incremental synergy realizations to our $370 million of combined EBITDA in 2022 gives a reasonable baseline for 2023 with a range of outcomes depending on how macro factors and first half de-stocking impacts total demand for the year. And to reiterate, although we see a challenging first quarter, we see profit growth in 2023. Third, while macro factors may influence our results, our synergy plan is within our control and we are confident in delivering those savings. In a world full of uncertainties, we are encouraged to have such a substantial and achievable catalyst to drive profitability. And fourth, we are excited about what the future holds. In clarifying our ambition, strategic pillars, values and growth platforms has further unified and aligned the company from top to bottom as we head into the New Year. The road ahead is rich with opportunities to lean into growth, sharpen our focus and drive value creation. That concludes our prepared remarks. Please open the line for questions.
Operator: Thank you. We will now start today’s Q&A session. [Operator Instructions] Our first question today comes from Jon Tanwanteng from CJS Securities. Your line is now open.
Jon Tanwanteng: Hi. Good morning. Thank you for taking my questions. My first one is and thank you for all the detailed information you guys gave. These were all very helpful. But the first one is, it sounds like you’re expecting a sequential decline in the first quarter. I was wondering if you could give us a little more detail on the expected magnitude both on a revenue margin perspective and if you could provide any more color on just which – how impacted each segment is going to be, especially just given your underlying synergy and pricing efforts there.
Julie Schertell: Yes. I would – I’ll start Jon and then Andy add anything that I might miss. And also I should probably recognize, I understand there’s a little bit of audio glitch in the call, so if there’s any extra questions, we’re happy to take those. As far as sequential improvement, we are expecting from a revenue standpoint, slight sequential improvement versus Q4. I mean, we mentioned we’re feeling destocking impact, particularly in paper and industrials and maybe some of our construction areas. There will be the impact of the strike in France and those are on assets that are sold out. So from a bottom line standpoint, the combination of the strike in France, destocking and some normalization of that through Q2 and some softening in Europe, we are expecting a soft Q1, softer than we would expect for our long-term normalization. And if I would think about that versus maybe last year Q1, it’s probably in that 10% range.
Andrew Wamser: Yes, I would agree.
Julie Schertell: On EBITDA.
Jon Tanwanteng: Okay, great. Thank you. That’s very helpful. Andy, you mentioned improving net pricing versus the inflation that has forecasted this year. Two questions around there. How much did you recover in Q4 and is there a target for recovery in 2023?
Julie Schertell: Yes. In Q4 we recovered $35 million over recovered and for the full year we over recovered about $75 million. We needed to over recover and we do have a target for this year as well. We’re expecting some moderation in input costs, but we’re expecting to over recover again in 2023.
Andrew Wamser: Yes. And in my comments I mentioned that we would expect when we look at some of the different buckets that the order of magnitude of input costs year-over-year, when you sort of think about energy, some of the pulp, particularly in the front half, it’s going to be an order of magnitude of about $100 million. So we know the order of magnitude that we have to do in terms of to go get the price.
Jon Tanwanteng: Okay. And is there an over recovery target at all?
Andrew Wamser: Well, what I would say is, when we think about the margin profile for 2022, we would expect a modest marginal improvement as we go into 2023. So that will be a combination of both synergies and then additional sort of pricing actions if you will. So that’s probably the best sort of color I can give you.
Julie Schertell: Yes. I would think about a minimal – very minimal over recovery, Jon. I mean we got a lot of the over recovery this year as they start to moderate, we’re expecting to hold onto pricing and continue with some of the disciplines we put in place and then deliver on the synergies, but moderate or minimal over recovery on pricing and same thing from a margin standpoint.
Andrew Wamser: And one thing Jon I would say, as we sort of closed out Q4, we really saw that recovery that we sort of think of were ATM margin was just around 15%, the FBS margins were about 20%. So that was sort of representative of some of the pricing actions that were needed and we knew that the fourth quarter would be the best sort of year-over-year and we’re happy we delivered it.
Jon Tanwanteng: Great. Thanks. That’s helpful. I also appreciate the color around the depreciations.com. Any change to the amortization and purchase accounting at all as we go forward?
Andrew Wamser: It’s about $55 million to $60 million.
Jon Tanwanteng: Okay, great. And then finally, Julie, can you give us an update longer-term just on the potential synergies beyond the identified cost ones you’ve talked about them. I’m going to ask this every quarter, but revenue – vertical integration within the relief. Yes.
Julie Schertell: Yes. One of my favorite topics. So as we mentioned, we ended 2022 at a run rate of $20 million. That was our expectation. Most of that – most of the early synergies are SG&A and org design. Some early procurement, we’ll execute another $10 million to $15 million by mid-year. That’ll flow through at least $10 million through the P&L this year. So those are primarily our short-term synergies, which are heavy procurement this year. They were heavy SG&A to begin with, and now they’re heavy procurement in supply chain. Longer-term, I’d say there’s a lot of opportunities that would be centered around insourcing of capabilities, materials that we buy on the outside today that we likely have the technical capabilities to internalize as well as footprint optimization, consolidation, potentially how we operate our assets to serve our customers, to maximize profitability and reduce costs. There’s innovation synergies from our shared technologies, and then there’s revenue synergies. And those are – they take longer to materialize, but those are in the process right now, particularly the revenue synergies where we’re working with some key customers that one of the former companies may have had a relationship in the past but the other one didn’t or that where we now have extended technologies with those existing customers. So a lot of opportunities from a short-term and long-term standpoint. What I love about synergies, particularly in this uncertain environment is that they are really within our control and we have clear line of sight to delivery, really rigorous tracking, a transformation office that is leading those efforts. So I kind of consider synergies as an insurance policy that we can continue to deliver even during this tough economic environment.
Operator: Thank you. We’ll now take our next question from Mitra Ramgopal from Sidoti. Your line is now open.
Mitra Ramgopal: Yes. Hi. Good morning. Thanks for taking the questions and again, I really appreciate the detail provided. First one, just on the price increases and inflationary environment, you’ve had great success this past year in terms of more than recovering the higher costs, and I know you’ve mentioned you’re still considering additional pricing actions or surcharges. In the face of potential slowing or demand softness, how confident are you that you’ll be able to continue to recoup a lot of the additional costs you’re facing?
Julie Schertell: Yes, I think a couple things. And we’re feeling softness, but I would tell you we’re feeling primarily as destocking right now. And we still have some strong demand elements within our portfolio. When I think about consumer products and release liners and protective solutions and engineered paper there is very stable demand, water and air and process filtration is very stable demand. So where we’re feeling softness, it’s in about a third of our business, more heavily in Europe, less so in North America. So I do think we have continued opportunities from a pricing and mix standpoint. And other than synergies, pricing is the number one topic in this building and it’s important that we continue to flex our agility, understand how we reduce contract terms, which the team has done a great job of increasing items that we flex with modifiers, increasing transparency with customers and our discipline and our tracking of pricing. So while we will feel some softness, we also know we have some very sticky pricing catalysts as well, particularly in packaging and specialty papers, protective solutions. Anywhere where there’s a great technical solution that provides a barrier, we tend to have very sticky pricing. And so overtime we’ve demonstrate our ability to hold onto pricing. I would expect nothing to be different in this environment as well.
Mitra Ramgopal: Okay. Thanks. That’s very helpful. And just on synergies, you highlighted a $25 million expect to get this year. I assume that’s really just on the cost side. And just curious on the revenue synergy side, if you're seeing any traction here from cross-selling or new geographies, et cetera?
Julie Schertell: Yes, the $25 million is on the cost side. On the revenue side, I'd say they're longer term and a little bit more – a little bit more, they're in process now, but they'll take us a little bit longer to recognize. And that's really from primarily cross-selling opportunities and technology, complimentary technology opportunities where we can provide different kinds of solutions than we could previously at standalone companies, but those take a little longer because much of our portfolio requires customer qualification. So designing those products with our customers and then qualifying will take us a little bit of time, but it's a really exciting opportunity for us and one the team is extremely focused on.
Andrew Wamser: And maybe just one other thing I would add to that point is when we talked about the $65 million in synergies, revenue synergies were not part of that. So, this would be something that would offer above and beyond that. So we're really just focused on getting to that first $65 million and then commenting on additional synergies beyond that once after we get that threshold.
Mitra Ramgopal: Okay. Thanks for clearing that up. And then on M&A, Julie, you mentioned that's obviously something you'll be looking at and again, in this environment not sure if you could maybe touch on potential opportunities you're seeing out there evaluations, especially in the higher interest rate environment, and is there a consideration, I think you mentioned about 60% of the portfolio sort of being economically resilient. Would there be part of the strategy in terms of M&A to move that number even higher?
Julie Schertell: Yes, over time, I mean, clearly right now our number one priority for use of cash is going to continue to be de-levering. And we demonstrated that in Q4. We'll continue to focus on that in 2023 as well. As we talked about our strategy, I would tell you in the past both companies strategy was heavily dependent on M&A and on diversifying into new categories. The categories in which we compete today are really strong. We have a strong portfolio. Over 75% of our portfolio has GDP plus underlying market growth. So that's a great spot to be in. As we think about M&A, in the future, it will be more aligned in those categories where we compete today and really biased towards those three growth platforms that I mentioned. So that's release liners, protective solutions, and filtration. Over time, as we accelerate growth in those areas, those are some of our most economic resilient areas. Our resiliency will continue to grow as well. So that's how we'll get there both organic growth by biasing our investments towards those high growth accelerators as well as in the future, bolt-on type of acquisitions in those high growth accelerators.
Mitra Ramgopal: Okay, thanks. And then finally, obviously you mentioned the first quarter is going to be very challenging and you expect the cadence to improve going forward. Just on the second half, what sort of gives you the heightened confidence that it'll be much better than what you're going to see in the first half?
Andrew Wamser: Yes, I'll take that. I'll take the first one, Julie, if you want to add on. So, when we talk to the business unit leaders, I think universally, everyone's saying that the demand is going to be pretty strong. I think when we talked about some of the softness in Q1, it really is a destocking, sort of inventory destocking. So I really do sort of isolate it to that. And then when I think about also Q1, there are just, I would say some one-off sort of inefficiencies that we had, as we ran into the start of the year and then also some of these strikes that we're having in France, which we don't expect that to continue. But I think the comments about destocking I think are probably something you've heard from others talk about and it's something that we've seen and we even saw coming a little bit into, in November when we spoke, we thought coming into Q4 as well. But we feel really confident when we look at the end markets in terms of protective solutions, filtration, release liners, all those businesses. We feel really confident in terms of what that growth outlook is. I think the second thing I would say is when you think, look about the input environment, when we get to the second half of the year, the input environment should be much more favorable than where we were on the front half. So in the front half, so energy will be up year-over-year, materials like pulp, should be going up year-over-year, but then when you look at the NBSK, that should be more favorable as we look into the back half of the year. So when we sort of think about the entire complex, we see a good second half, sort of setting up where you could have good demand with a favorable input environment.
Julie Schertell: Yes, I think Andy hit on like the key elements. The only one I would add is the addition of potential percentages to continue to ramp in. So when you think about procurement contracts, they'll ramp in over the year, supply chain efficiencies and capabilities will ramp in over the year. So we'll continue to build that out throughout the year as well and have a higher run rate at the end of the year than we start the year with.
Mitra Ramgopal: Okay. No, that's great. Again look forward to the rest of the year and congratulations. I'm getting the merger done. It looks like you're set up nicely over the next throughout 24 months, so growth itself. Thanks again for taking the questions.
Julie Schertell: Thanks Mitra.
Operator: We now have a follow up question from Jon Tanwanteng from CJS Securities. Your line is open.
Jon Tanwanteng: All right, thanks for the follow up. I was just wondering what your expectations for working capital and cash flow through the year assuming our pocket obviously in Q1 and in potential recovery through the second half, also is there any particular lumpiness in cash restructuring costs or integration and capital spending? Just how do you see the use of cash through the year?
Andrew Wamser: Sure. So when we think about, I would say, just free cash flow, when I talk about the elements in terms of, really the walk when I talked about the depreciation, the interest, some of the assumptions around tax and JVs, et cetera, that really would blend itself to around a free cash flow of about $150 million. And so when I think about one time sort of continued restructuring charges, you coming through, it's going to it's not going to be nothing like it was in the back half of the year. So it's not going to be meaningful. I would say, order of magnitude between $10 million or $15 million as we sit here today. On a working capital, let's see, because of the receivable facility that we put in place, I don't think receivables would actually be, that big of a drag this year. And I would think about inventories as potentially being headwind in the front half of the year, but then certainly a tailwind in the back half of the years because of the dynamics we talked about in terms of thinking about the input cost going down, then year-over-year. And then CapEx, I think I mentioned least of my comments that would be close to about $90 million for the year.
Jon Tanwanteng: Understood. And then just given the higher for longer sentiment that people are expecting from the fed and interest rates, how much more is it important is it to pay down debt using excess cash flow versus using your capital elsewhere at this point?
Andrew Wamser: Well, that's what we're focused on so we would expect to continue to pay down debt in 2023 after an abnormal cash flow year in 2022. And that is a focus, so, net leverage ended at three seven for this year. We would expect to be between three and three five, as we close out the year and we're very confident in that.
Jon Tanwanteng: Okay. Got it. Thank you.
Julie Schertell: Thanks Jon.
Operator: There are no further questions. At this time, I will now hand back over to Julie for some closing remarks.
Julie Schertell: Yes. Thank you for your interest today. We appreciate your time and questions and look forward to talking to you soon. Good afternoon.
Operator: That concludes today's Mativ’s 4Q 2022 earnings release. You may now disconnect your lines.